Operator: Good afternoon, ladies and gentlemen, and welcome to today's Rekor Systems, Inc. Conference Call. My name is Diego, and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. Before we start, I want to read you the company's abbreviated safe harbor statement. I want to remind you that statements made in this conference call concerning future revenues, results of operations, financial position, markets, economic conditions, products and product releases, partnerships and any other statements that may be construed as a prediction of future performance or events are forward-looking statements. Such statements can involve known and unknown risks and uncertainties and other factors, which may cause actual results to differ materially from those expressed or implied by such statements. We ask you that you refer to the full disclaimers in our earnings release. You should also review a description of the risk factors contained in our annual and quarterly filings with the SEC. Non-GAAP results will also be discussed on the call. The company believes the presentation of non-GAAP information provides useful supplementary data concerning the company's ongoing operations, and is provided for informational purposes only. I would now like to turn the presentation over to Mr. David Desharnais, President and CEO of Rekor Systems.
David Desharnais: Good afternoon, and thank you for joining us today. As I conclude my first full quarter as President and CEO of Rekor, I am pleased to share our solid progress in the quarter and strategic vision for the future. Over the past 90 days, since stepping into this role, I've delved deeply into every aspect of our business. I've been focusing on refining our financial processes, enhancing the work that we are doing in government relations and driving operational excellence across our sales team and field operations. My commitment is to establish and strengthen the governance structures and scaling mechanisms that will help transform Rekor into a more predictable growth engine. And I'm encouraged by the team's positive response to the direction and priorities that have set and the substantial progress we've made so far. Also, over the past three months, I've had the privilege of engaging with many of our investors and shareholders globally. Your insights have been invaluable to me, and I want you to know that I'm listening. Our conversations have reinforced three key themes: strong enthusiasm for our market position and opportunities, concerns about securing necessary capital to continue our significant growth trajectory amidst macroeconomic uncertainty and slow government contracting cycles; and finally, eagerness for meaningful customer traction. Today, I'll address these three areas and provide insight into our path forward. To begin with, let me stress that navigating the complex procurement processes of federal, state and local government agencies is challenging. But it also provides an opportunity with unparalleled long-range stability and growth potential. While we've been fielding our AI-based solutions in the transportation and traffic segments for just over a year at this point, namely our Discover and Command platforms. We have moved at a rapid pace, gaining awareness, preference and adoption across multiple states, including South Carolina, Georgia, Florida, New Mexico, Texas, Colorado, Ohio, Maryland, Oklahoma, Kansas, Oregon and multiple others in the works. However, it is important that we remain realistic given that the government contracting process is opaque at best and has its own pace and timeline. It is something that we will continue to be conservative with in setting expectations as it relates to timing of deals and expansion. Along this line, and as an update to our last earnings call, I wanted to update you on the upcoming deployment of up to 1,000 Discover and Edge units, equating to a potential upside of approximately $35 million in revenue, in one of the largest states in the U.S. as they finalized their AI policy. As of today, I'm pleased to share that we've initiated deployments in the region. However, progress has been hampered by continuous interruptions resulting from multiple storms of this hurricane season, most recently by Hurricane Debby. We don't control these things, of course, but the state does not permit anybody to work roadside in hazardous weather conditions in the period leading up to the storm, during the storm itself, of course, but also in the immediate aftermath. Understandably, this has impacted our expected timeline for deployments, as the state is prioritizing emergency response efforts for its citizens. But the initial sites we have already activated have performed flawlessly under these extreme conditions and have already proven to be mission-critical, delivering vital insights to the state's emergency operations center to support evacuation routes during these storms. This underscores the essential role our technology plays, further cementing Rekor as a trusted and indispensable partner in this state, which will pay dividends. As I also highlighted in the previous call, the transportation infrastructure industry is undergoing a massive and generational technology refresh, and that within our existing Southeast footprint alone, we see the potential to add 6,000 to 8,000 sites, which could generate an estimated $200 million to $300 million in cash flows over the coming years. Rekor's reputation as a trusted partner in the Southeastern states has never been stronger, and our success is being closely monitored by other states nationwide, as we continue to execute our growth strategy. Given our recent performance with these states during these crises, it only positions us more strongly for our continued expansion in the region. Our growing recognition and reputation, along with the ongoing infrastructure overhaul that is happening, puts us in an ideal spot to capitalize on this transformative period in the industry. So while we must continue to navigate the complex and often slow-moving procurement processes of state and local governments, it also provides us a unique opportunity for long-term and durable growth that we believe will benefit our investors in the long run. Despite the relatively short time we've been deploying our technology in market, we're experiencing continuous accelerated growth, and I'm confident in our ability to sustain this momentum. Later in the call, I'll discuss some of the new contracts we've secured during the last quarter and examples of meaningful traction we're experiencing. Before diving into these details, I'll now hand the call over to Eyal Hen, Rekor's CFO. He'll review our financial highlights for the quarter and discuss the proactive steps we're taking to solidify our capital position and protect our shareholders, as we navigate the uncertainties of the current macroeconomic environment and B2G domain. Eyal?
Eyal Hen: Thank you, David. Hello, everyone, and thanks for joining us today to discuss our results for the six and three months ended June 30, 2024. I would like to start with our recent announcement that we have just infused $15 million into the company for a facility that can provide up to another $20 million in capital should we need it. The agreement is designed with strong shareholder protection, including a $2.6 million monthly cap on prepaid balance conversions to equity, and a ban on short selling by the counterparty, which minimizes dilution and allows us to draw less capital or repay the notes early once our expected contracts materialize. Full details about this agreement have been provided in our 8-K concerning the financing, and I won't delve into them now. Suffice it to say that this gives us the necessary resources to address the recent government contract delays we've been facing. This injection of funds position us to meet our 2024 growth targets. And as is shown by our Q2 performance, we are making solid progress against this. We'll continue to drive operational efficiencies and carefully manage our cash flow to ensure it is used effectively, but at the same time, we have improved our metrics year-over-year and quarter-over-quarter. Going forward, some of the larger recurring revenue contracts we are pursuing may involve significant upfront installation expenses. If additional capital is needed for this implementation, we plan to prioritize non-dilutive financing options, such as issuing an additional series to our revenue sharing notes. We expect to continue to address our capital needs prudently, expanding our industry leadership and fulfilling our customer commitment as needed. In this regard, we have engaged B.C. Ziegler and Company, a specialty investment bank, to service as placement agent and market maker in connection with future issuances of our revenue-sharing notes. Over the past few months, we've been in discussions with them as well as with rating agencies to work on getting these notes rated, which should help reduce overall cost and improve their marketability. We anticipate continuing to use this structure, which aligns potential future debt to the growth of fully performing contracts as a primary funding source of additional growth capital. Now I'm pleased to talk about our financial highlights for the three and six months ended June 30, 2024. In the second quarter of 2024, our revenue reached a record revenue of $12.4 million, marking a significant growth of 45% increase from the $8.6 million in the same period last year. We also demonstrated a robust revenue growth quarter-over-quarter at over 27% above Q1 2024. In the six months ended June 30, 2024, we achieved $22.2 million in revenue, an increase of 51% from the $14.7 million we marked in the same period last year. Recurring revenue also increased by 8.9% from $5.8 million in the same quarter of 2023, compared to $6.3 million in the same quarter of 2024. Our adjusted gross margin for the three months ended June 30, 2024, was 53.5%, an increase from 51.8% in the second quarter of 2023. This increase was primarily due to higher margin mix of sales during this quarter. As previously explained, we expect a primary benefit of our technology refresh efforts to allow us to move from lower margin to higher margin sales over time. However, during the early growth phase we are in, this evolution may be choppy, as we saw at the beginning of this year. The adjusted gross margin for the six months ended June 30, 2024 was 50.2%, a decrease from 52.5% for the same period last year. The decrease is mainly due to the lower margins we experienced at the beginning of the year. We also continue to see improvements in our adjusted EBITDA loss. For our second quarter, it's now set at $5.8 million, an improvement of over 19% from the $7.2 million in the same period last year. The adjusted EBITDA loss for the six months ended June 30, 2024, was down to $15.2 million from $16.5 million in the same period last year. Lastly, another significant development in the second quarter of 2024 was the exercise of [3,675,000] warrants in June 2024, which resulted in $5.2 million of cash to the company, of which $3.2 million was received in July after the balance sheet date. Also in July, we sold our remaining 19.9% ownership of Global Public Safety for $1.5 million. And of course, as highlighted earlier, we received $15 million under our prepaid advance agreement, which has been structured to provide up to $35 million under appropriate circumstances. In summary, we are very pleased with our solid second quarter results and the synergistic and accretive impact of our recent acquisition. Our capital raise and the engagement with Ziegler are instrumental enablers in continuing to secure our leadership position in the industry. Our financial and operational strategies are designed to capitalize on future growth opportunities. Looking forward, we continue to be confident in the potential of our technological developments, strategic acquisitions and are grateful for continued support of our investors. Now I will turn the call back to David to cover additional business highlights from the quarter. David?
David Desharnais: Thanks, Eyal. As Eyal highlighted, we delivered a solid Q2, performing well against all metrics and achieving the highest top line revenue in our history. And with the capital now in place to support our continued growth, we are laser-focused on executing our customer expansion plans and driving what we expect will be a strong year-over-year growth, along with a healthy pipeline dynamic heading into 2025. Now I'd like to share some important business highlights from the quarter. As mentioned earlier, a major theme I probed from investors is the strong enthusiasm for our market position and opportunity and eagerness to see customer traction. I'm pleased to share that the progress we've made in the past quarter across each of our business segments is meaningful and continues to lay a solid foundation for continued growth. Rekor's industry reputation as the leader in roadway intelligence is steadily growing, with our brand and AI-based solutions gaining recognition across multiple high-profile forums and institutions. We are regularly invited to share insights and success stories in local and national media, underscoring our thought leadership in the future of AI and transportation. We were also proud to recently have the Baltimore Business Journal recognizes as the number one fastest-growing company in the region, as well as highlight our commitment to digitizing critical transportation infrastructure across the nation. Additionally, we were honored with a special invitation to join a high-profile panel alongside leaders from TxDOT and Amazon/AWS. During the event, the CIO of TxDOT highlighted Rekor's industry leadership and the significant impact of our technology in Texas. Notably, Rekor Command was credited with helping achieve a 29% reduction in secondary crashes and a 44-minute improvement in incident resolution times, underscoring our vital role in their mission-critical efforts to save lives on their roadways. This quarter, Rekor was prominently featured by ITS Americas as a leading force in the current and future landscape of AI for digital infrastructure and transportation. They highlighted multiple Rekor use cases, where we are proving to improve transportation and citizen safety across state and local roadways. This recognition, along with the award of multiple new technology patents we received this year, reflects our team's ongoing commitment to advancing the state-of-the-art of roadway intelligence. Our proven technology solutions are centered around our three growth pillars: public safety with our Scout platform, transportation management with Command and urban mobility with Discover. I'd like to start with our first growth pillar, public safety and Scout. Rekor's reputation as a leader in AI-based vehicle and license plate recognition is well known and continues to grow in what is a noisy and fragmented market. We believe that the future of this industry sector will be defined by open platforms and seamless integration into existing public safety infrastructure, principles that are central to our growth strategy. As such, our focus has been and remains on integrating our technology into existing law enforcement and security systems, while expanding our market reach through partnerships with OEMs, resellers and third-party channels. A key example of this strategy in action is our recently announced partnership with SoundThinking, a leading public safety technology company known for delivering AI and data-driven solutions to law enforcement, civic leaders and security professionals. SoundThinking is already trusted by thousands of public safety agencies across the U.S. By integrating Scout technology with their ShotSpotter gunshot detection solution, we are providing an end-to-end public safety offering through new go-to-market channels that immediately enhances public safety for major cities and strengthens Rekor's presence in key markets. In addition, this quarter, Scout was recognized by Amazon Web Services as the first in the industry to achieve the well-architected stamp of approval, joining the rest of our portfolio in the marketplace. This achievement is important because not only does this speak volumes about the strength and differentiation of our technology, but also brings Scout into the highly selective AWS Marketplace. It also expands our reach by enabling customers to access Scout through the AWS Partner Network and Amazon Business distribution and procurement channels. This positions us to integrate more seamlessly with leading technology platforms, ensuring that our offerings are accessible to a wider audience. Also, we expanded our relationship with NVIDIA as well as our participation in their Metropolis Partner Network, building upon NVIDIA's most advanced Jetpack technology for our customers. Our deep technical collaboration with NVIDIA powers our advanced computer vision and machine learning technologies, accelerating time to market for new features and simplifying customer adoption. Looking ahead in the Public Safety segment, we are focused on licensing our vehicle recognition SDK through third-party e-commerce platforms and developer portals. This approach will empower third-party developers to create new innovative market applications that leverage Rekor technology at their core. In addition to this, we're developing the next generation of Scout. Our next-gen platform not only promises to strengthen our leadership in the public safety sector, but also pave the way for continued growth and innovation across the industry and with our partners. Moving on to Pillar 2, our Transportation Management segment and the Rekor Command platform. Departments of Transportation are confronting an increasingly complex and demanding environment in their mission to ensure roadway safety and keep traffic moving. With the increase of sophisticated vehicles, the growing issue of distracted driving, aging roadway infrastructure and never-ending road work and traffic interruptions, the challenges are multiplying for these agencies. Compounding these difficulties are the deep organizational and data silos that DOTs must navigate to try to keep traffic flowing and people safe. The situation is further strained by the rapidly increasing retirement of seasoned DOT professionals from the agencies and the ongoing struggle to recruit skilled talent quickly enough to meet these escalating demands. The Rekor Command platform addresses these challenges by providing tools that are full stack solutions versus silos. And that leverage AI to process and integrate massive and disparate data sets, turning them into actionable insights that can be shared across departments and agencies in a single source of truth in the single payment blast. This comprehensive view of roadway and mobility data provides real-time visualization, situational awareness, predictive analytics and more, enabling agents seize to it effectively manage roadways despite the increasing demands and limited resources. As mentioned earlier, our work with TxDOT has been particularly impactful for Texas roadways and recognized across the U.S. Building on this momentum and an alignment with TxDOT's record-breaking $142 billion investment in transportation infrastructure over the next 10 years. We launched the Construction Partner Program this quarter with TxDOT. PPP is a vital citizen-facing app powered by Command designed to enhance mobility and roadway safety across Texas through real-time incident monitoring and work zone management. Additionally, in collaboration with TxDOT and the University of Texas at Austin, we developed an economic benefit calculator that assesses and validates the efficiency and monetary benefits of key metrics like crash reduction and congestion improvement, helping any transportation agency clearly understand and visually see the return on investment they make in our Command platform. But our progress isn't limited to Texas. We're pleased to also announce the initial adoption of the Command platform in Oklahoma and Kansas, further extending our reach and ability to drive influence and adoption across state lines as we build out a connected network of smart roadways both regionally and nationally. Similarly, in Oregon, Umatilla County announced their adoption of Command in conjunction with the state's connected vehicle ecosystem, bringing advanced roadway intelligence to the unique challenges facing rural areas and communities and supporting the work we're doing with Oregon DOTs road usage charge program statewide. These developments highlight the growing recognition and adoption of Command across the country. The expansion of our footprint in this segment underscores our commitment to transforming roadway and traffic management by delivering unprecedented visibility and insights that legacy systems just can't offer. Our solutions enable agencies to monitor traffic in real time, break the data and organizational silos and utilize AI-driven insights to respond to incidences faster, reduce response times and vastly improve the time it takes to get roads back to normal. Our continued innovations and strategic partnerships ensure that we will continue to lead the way in providing the technology and insights needed for smarter, safer and more efficient roadways. Last but not least, I'd like to share some progress that we've made this quarter in the third growth pillar, our Urban Mobility segment and our Rekor Discover platform. As mentioned in our last earnings call, the traffic data collection industry is at a pivotal moment, which is a significant growth driver for Rekor. We believe we are leading one of the largest legacy data collection technology refreshes in the U.S., where millions of outdated and legacy-based traffic study sites across the U.S. roadways will be replaced with advanced AI-driven solutions. Our Discover platform, initially built on the foundation of our 2022 acquisition of Southern Traffic Services and further strengthened by our acquisition of All Traffic Data earlier this year, has transformed the permanent and short-term traffic study landscape. It allows us to replace legacy systems with secure, connected and modular AI-based solutions that integrate seamlessly into existing infrastructure, greatly enhancing safety and sustainability for our customers. The platform's mission-critical status is clearly demonstrated recently during Hurricane Debby, where we supported multiple states in the Southeast in managing roadways and evacuation routes in real time, ensuring citizen safety during emergency operations. This quarter, I'm pleased to share that we were awarded over $15 million in new contracts, highlighting the strong demand for Discover and better traffic data management reporting as states look to modernize and digitize their legacy roadway infrastructure. Notably, we expanded our reach westward with statewide contracts in Ohio and Texas. These contracts not only cover the maintenance repair and replacement of existing infrastructure, but also pave the way to transition failing traffic data collection sites to AI across the state. It's worth noting that this new Texas contract is independent from the work we're already doing in Texas with Command, illustrating our land and expand strategy in action. Our approach is to penetrate a state by delivering clear value with one of our platforms and then expand to the next platform in our portfolio, and then the next. And along the way, we have the opportunity to continue to layer on new value-added services over the top, such as air quality, electric vehicle studies, weight in tonnage and more, increasing the value we deliver to the state and our revenue potential. As another example of customer traction, we also announced a new $1.5 million contract with Maryland Department of Transportation to deploy the Discover platform across some of the nation's most heavily used corridors, including I-95, I-495 and I-695. This win, which is over and above our AI-based class, count and speed offering, focuses on corridor management and sustainability, incorporating advanced environmental analytics like carbon reduction, EV, counting and air quality monitoring, weight and tonnage and volume by lane through our new Vehicle Insite solution. These enhancements will help Maryland improve traffic management while addressing environmental concerns, and this has further open the door to additional opportunities within the state. In addition, we also expanded into Colorado's Pitkin County, where we are deploying Discover in the highly trafficked Aspen area and surrounding region. This new contract includes our Discover class, count and speed offering, as well as air quality monitoring, once again showcasing our ability to grow our footprint by providing value-added services over the top of existing infrastructure. This project supports better roadway planning maintenance and sustainability in a region known to driving the environmental improvements. Looking ahead, we continue to see significant momentum and opportunities emerging for Discover. Our recent strategic partnership with MS2, a leader in transportation data management for states, is expanding our reach to dozens of new state DOTs and numerous cities and counties across the U.S. This collaboration, combined with our mission of collecting, connecting and organizing the world's mobility data to make it useful and accessible for unique insights, positions Rekor on a fast path to becoming the leading roadway intelligence data exchange for the industry, laying a strong foundation for the continued success, holding enormous and durable value at the core of our strategy. As we close out my first full quarter as CEO of Rekor, I'm encouraged by the solid progress we've made across all of our growth pillars. We've continued to navigate the complexities of government procurement, secured multiple multimillion dollar contracts and expanded our reach into key states like Ohio, Texas, Maryland, Colorado, Kansas and Oklahoma. Our strategic partnerships with industry leaders such as AWS, NVIDIA, SoundThinking and MS2 are further strengthening our market presence and positioning Rekor as a leader in providing roadway intelligence to the industry. As I mentioned earlier, in my discussions with many investors over the past 90 days, the key themes you raised such as market opportunities, capital needs and meaningful traction have been top of mind for me. We've made important strides in each of these areas in the quarter, securing necessary capital to continue our growth, winning new contracts and expanding our market footprint. While we remain cautious due to the inherent complexities and unpredictability of government contracting, the traction we've gained this quarter is a strong indication that we're on the right path. We're committed to building on this momentum and continuing to deliver our strategic vision. I look forward to updating you on our continued progress in Q3. Thank you. We'll now move on to Q&A. Operator?
Operator: Our first question comes from Michael Latimore with Northland Capital Markets. Please state your question.
Mike Latimore: All right. Thank you. Yes. Yes, great to see all the news recently contracts and with a 27% sequential growth in the quarter here. I guess, in terms of the -- this kind of large contract you highlighted here, 1,000 units potentially, I guess, one, are those basically going to go into locations that you currently manage, and you upgrade them? Or are there also new locations embedded in that? And then what's your thought on time to get all these deployed now?
David Desharnais: Hi there. Mike, good to have you on the call. Thanks for the question. So in terms of the large contract, yes, we do have management responsibility for a number of these. But it's a mixture of existing as well as new areas that otherwise would not have been done. The mixture of areas that would have normally been done with portable or short-term, that will move to a more permanent solution because now it can be done. So that's a lot of new opportunity there for us. But to answer your direct question, it is a mixture of existing ones that are scheduled for replacement and new ones that otherwise could not have been done.
Mike Latimore: Great. And it sounds like you have started to deploy the units. And is there -- what -- over what -- how many months or quarters do you expect to be able to deploy the 1,000, let's say?
David Desharnais: Well, we would expect that -- it's probably -- like it depends on, I would say, a few things. Like in the area -- Like in -- I hope you understand, there's expected and predicted to be about 20 to 24 named storms in the area, 8 to 12 hurricanes between June and November. So again, if those didn't happen, clear sunny days, I would say that we'd probably be in the 6-month range to get that through with existing resources. And it could go higher based on that. But I'd say that's what I would expect.
Mike Latimore: Yes. Yes. Okay. Yes. I'm near to the Gulf Coast and very attuned to those forecasts. So for sure.
David Desharnais: Yes, indeed. Best of luck.
Mike Latimore: And then is the pricing model here -- and maybe you can't talk about it, is the pricing model kind of the hardware and maintenance one or the full subscription one?
David Desharnais: In the cases that we're talking about, because we're talking about a regional area, it varies by the states in the Southeast. But the one in particular that I'm referring to is a mixture of hardware and subscription bundle together. So paid upfront in the way that the state would like to do that through their procurement processes. But it very much is over time. But I would say it is bundled together.
Mike Latimore: Okay. Great. And then on the Texas news you just had. You characterize that as, I think, kind of maintenance and repair. I guess one, is that -- just to clarify that, that's what that deal is about. And then two, do you see an opportunity in Texas similar to the one -- the large one we just discussed?
David Desharnais: So on the Texas opportunity, one of the things that we do well, and we're trusted to do is looking to -- well, evaluating, maintaining, replacing, repairing existing infrastructure. That, frankly, what makes us incredibly valuable to the states. But the opportunity to have line of sight on every device on the roadway is the provision to also replace with AI. So right now, we have access to both of those opportunities, and we're just getting started. So we need to make sure that we're being able to extract every single dollar and earn every single dollar from that opportunity, and it will equate to both existing maintenance as well as replacement for AI.
Mike Latimore: Great. And just last one on ATD. How is that tracking with your expectations? Have they helped with some of these recent wins?
David Desharnais: Actually very well. I'm very pleased with the acquisition as we have been over time with our STS acquisition as well. Excellent team, it broadened the market for us. We're doing work in new states that we've never done. And also now integrating our AI technologies into the workflow. So I really truly could not be happier with that team and also with the progress we're making in terms of integration, but also new business. So yes, very well, actually.
Mike Latimore: Yes, great. Thanks a lot. Best of luck this year. Thank you.
David Desharnais: Thank you, Mike.
Operator: [Operator Instructions] Our next question comes from Noah Levitz with William Blair. Please state your question.
Noah Levitz: David, Eyal good afternoon. This is Noah Levitz on for Louie DiPalma. Thank you for taking my questions. To start off, as it relates to your new partnership with SoundThinking for PlateRanger, just to gain some more color, how is your solution going to stack up versus some of the existing solutions already on the market? Will it be priced comparatively to some of the others? And then can you also elaborate on any other differentiators that you're going to provide?
David Desharnais: So yes, a very good question. We're excited about this relationship. SoundThinking is a respected name and brand in the law enforcement area. And so we're thrilled with the opportunity to work with them. In terms of our go-to-market and pricing, that's really up to how SoundThinking wants to approach their market. They've got a large installed base that, that will expand into, including vehicle recognition and LPR and the connection with PlateRanger, which is powered by Rekor under the hood of that and connecting to their ShotSpotter, how does it compare competitively. One of the things I can say objectively through third-party benchmarking is that Rekor's license plate recognition and vehicle recognition technology is the top of the stack. So from a competitive nature, we still very -- feel very good about that. In terms of how SoundThinking and their ShotSpotter technology stacks up, we believe, and we've heard enough evidence from our customers that this is a leading technology in the market. So to me, it's like chocolate and peanut butter coming together, so you really have an end-to-end solution now for law enforcement to have the tools that they need to increase public safety. And so pricing, it's going to be up to how SoundThinking, which is to structure that with our customers, not us. So I can't comment on that. But our solution together with SoundThinking is where we are effectively working with SoundThinking as a channel to market. And so again, the rest of that engagement will support it, but it really starts with SoundThinking. Does that help you understand, Noah?
Noah Levitz: Yes. No, that was very helpful. And then just a little follow-up on that. Will it be utilizing solar? There's a lot of traction with solar power LPR cameras. So I was interested if PlateRanger will also be doing that?
David Desharnais: Yes. Yes, indeed, it will. The technology, again, from a physicality standpoint is Rekor technology under the hood, both from a hardware perspective as well as the software perspective and the AI agents that run. So we've always been solar. So solar is absolutely part of it. And it's, in fact, a strong differentiator for us as well.
Noah Levitz: Great. That was it from me. Thank you very much.
David Desharnais: All right. Thanks Noah. Appreciate it.
Operator: And our next question comes from KC Ambrecht with Shay Capital. Please state your question.
KC Ambrecht: Thank you very much for taking the question. David, good update to hear this quarter. Just a couple of clarifications here. The $35 million contract that you guys mentioned last quarter that you talked about today, I assume based on the hurricane comment there, it's probably Florida. But I just wanted to get a sense that if it's over six months just at the minimum, which it sounds like it's probably going to be more just depending on how it's following this time of the year. That adds about $6 million of -- like $6 million, if it's equal, if it's straight line, that adds about $6 million of revenue a quarter. How do we think about profitability for Rekor when a contract this size comes online?
David Desharnais: I'm trying to understand -- I don't know -- Eyal, maybe you understand the question better than I do?
KC Ambrecht: I mean you guys lost $5.5 million of EBITDA this quarter. And if you start bringing in this contract, that should add $6 million a month in revenue, if you just say it's going to take six months, it's a $35 million contract. How do we think about -- how does that impact your profitability?
David Desharnais: So you wouldn't do it all at once. Let me make sure I understand. So effectively, over a span of, say, six months, you're going to be putting an x number per week, per month and per quarter, et cetera. So you're going to ramp into that over time. And so -- and the way that contract would be structured here is that it would be paying upfront. So you would realize that linearly through the period of time. As fast as you can put things in, the faster that turns on. Does that answer -- am I getting to the heart of your question, K.C.?
KC Ambrecht: Yes.
David Desharnais: Okay.
KC Ambrecht: And then how much of that would be like hardware versus kind of a SaaS type contract? Is it 50-50? Is it more hardware than SaaS? Like how do we think about that?
David Desharnais: Eyal, do you have the -- give a details on that.
Eyal Hen: Yes, K.C., it's more on the hardware upfront and the SaaS is over time. So to your question on the $6 million every month, that's not $6 million maybe in cash if it all go well, but the revenues are only for the hardware, and some of the SaaS as we recognize as we go. The contracts talk about three years upfront for SaaS. So we recognize it all the time.
KC Ambrecht: Okay. And then you mentioned previous questions talked about Texas. How big can Texas be? Can it be the same size as this type of contract over time? Or is it a different size?
David Desharnais: So we're -- that's a really important question, K.C. Texas is the largest roadway network in the United States. And so if you think about the miles of road there, you can imagine a disproportionate amount of sensors, right? And so the opportunity there, it's a big state. The other state that you're referring to is also a large state, one of the top 5 in the nation. So landing in these states and being able to expand, as I described also in Texas during my prepared remarks. The opportunity there is enormous for sure. And so a lot of sensors, a lot of roadways and statistically from what we understand from our customers and as they've described the stuff that's on roadways today, a half to 2/3 aren't really producing the results they need. So it provides a tremendous opportunity for sure.
KC Ambrecht: Okay. And then lastly, you guys mentioned Georgia in your prepared commentary. It wasn't clear that you guys were there before. How big is Georgia today on an annual basis in your numbers?
David Desharnais: Eyal, can you talk to that?
Eyal Hen: Yes. We do not provide numbers per customer, but this is one of the largest customers that we have. And to your point, Georgia is over 30 years customer with STS before the acquisition. It's a very large customer.
KC Ambrecht: And did you upsell Georgia when you took over that company, STS? Did you increase the size of that contract?
Eyal Hen: Yes, the size of contracts no, but we did put AI units in Georgia.
KC Ambrecht: Okay, which increased the revenue, right?
Eyal Hen: The current contract with Georgia is some sort of fixed price, we did increase the overall revenues from Georgia, yes, based on other parameters but not from the existing contracts. We have other source of revenues in Georgia as well. It's the relationship that we have with Georgia and help us expand beyond the current contract.
KC Ambrecht: Okay. So you guys just outlined -- I'll say Florida, but you can say hurricane state, Georgia and Texas is three significant states in the union. So that's good to see. And then this new facility you set up with Ziegler, I think it Ziegler -- can you just kind of walk through like the strategy behind that? What type of loan to values you're getting on contracts? Like how it's structured? Like have you dropped in a new state, say, like on the West Coast, that's of size and it's a significant capital, how much credit are you going to get against the contract?
Eyal Hen: Are you talking about the revenue sharing contract?
KC Ambrecht: No, the new financing facility you guys announced today. I think -- I think it's called Ziegler.
Eyal Hen: No. So I think you're confusing with the thing. We announced a prepaid advanced agreement, which is some sort of convertible. Yes, that's the $15 million upfront that we get. It's an equity basically, that we get upfront cash. We oversee a $15 million upward cash, and there will be a conversion over time to retain the same. With Ziegler, it's the same structure that we set back in 2023. It's called revenue-sharing note.
KC Ambrecht: Yes, okay. Can you go through that?
Eyal Hen: Yes. So in this structure, actually, when we have a new contract, which is paid for data as opposed to the contract that we talked before on the $35 million, which became upfront on the hardware, some of the states, the procurement require pay for data. They don't want to own the hardware. So they pay a smaller monthly fees for SaaS, for maintenance, the hardware and the software. And with the current structure that we have on the revenue sharing notes, we get $0.50 for every dollar, meaning if we have $30 million worth of total contract value three years -- over three years, the current indenture said that we can grow up to 50%, so $15 million. That's just the current structure with the revenue sharing notes.
KC Ambrecht: Okay. Great. And then, David, now that you've been there really starting to run the company for over a quarter now, but have been there for a couple of years. What's your expectation for profitability considering that you have these large contracts coming online? When do you kind of cross that threshold?
David Desharnais: Yes. We have ambitions here in 2024, but I believe that given the hurricane season and such that it may bleed into 2025, but early 2025. So that's what I can tell you. But there's a lot of time between now and the end of the year, and we have a lot of stuff that's being executed. So again, we'll wait and see, but that's -- if I would be direct and fair, I would say we have optimism, but again, we have a practical thing about the deal with too. So we'll see how this goes, but we may bleed into 2025 in the first half.
KC Ambrecht: Okay. Great. A lot of momentum. Thank you very much for the time.
David Desharnais: You bet. Thanks, K.C.
Operator: [Operator Instructions] We have an additional question from Michael Latimore with Northland Capital Markets. Please state your question. Michael Latimore, you might have yourself muted. Go ahead.
Mike Latimore: Hi, there we go. Thanks. Yes. Just on these recent Command wins, can you explain the kind of the competitive dynamic there? Is there anything you're replacing? Or is this greenfield? And how does it roll out? Does it roll out statewide or is it go kind of city-by-city?
David Desharnais: Yes. Thanks, Mike. So Command from the contracts that we announced here, this is regional based, not statewide for Oklahoma and Kansas City -- or Kansas City, sorry, Kansas State. It was what I meant to say. What's really interesting about that -- so it is regional, and we fully expect that will extend into the state. One of the things that I'm pleased to say is coming into the new role, as we are entering these smaller communities, that's a very important strategic move for us because it gives us a footprint with less friction. At a state level, you're dealing with a completely different dynamic. So being able to enter a state at a regional level is an accelerated pace, and that's the situation with these two that I talked about, in particular with Kansas as well as Oklahoma. Oregon, we talked about the work that we're already doing in Oregon. What this represents in Oregon, in particular, Umatilla County, this is a rural community that actually sees an enormous amount of traffic, surprisingly. And along that line, have the same challenges that they're facing at the state level. So this allows them to start doing two things. First of all, operate off the same source of truth and same pane of glass as the statewide, but they didn't have access to the system. So now they have access to the system, and it also connects into the future of the connected vehicle ecosystem that is going -- that we're working on with Oregon. So it's a little different dynamic. But to net it out, I would say that the regional approach is a very fast path relative to a state approach. It could take 18 months sometimes for a state, and these can be done in months. It really helps to pave the way for future expansion. And if you -- and you know you're in the Gulf area -- Gulf Coast area, right? Texas buts up to Oklahoma, that buts up to Kansas. And you can kind of see an I-35 corridor going through there that becomes interesting across state lines. Nobody does that, Mike. So this is really, really an interesting thing that we expect to continue to expand both at the state level, which we're excited about the progress we're making there, but also at the regional level, local level like we're seeing.
Mike Latimore: Very good. Very good. Now -- and then just...
David Desharnais: Mike, you asked the second. You asked the second question. I just remembered. The sort of -- like you're replacing something or -- we're not replacing anything. We're replacing, I don't know, spreadsheets and cameras. You know what I mean, like whatever the traditional approach would be. So this is not like some displacement of some ATMS system or something like that. So just to answer that question.
Mike Latimore: That makes sense, yes. So it's sort of like the digitization of that function as well, just like with Discover?
David Desharnais: That's right. That's right.
Mike Latimore: And then on gross margin, that was up nicely sequentially. How should we think about gross margin kind of going forward here?
Eyal Hen: Mike, thank you for the question. As I mentioned on the call, we anticipate for the long run to have higher gross margin as we refresh old technology with our technology. In the meantime, it will be a little choppy, but we do anticipate to see the trajectory of growth as we can see here -- around 50% to 55%. And as we start to refresh more and more of this old technology with our technology. We anticipate the gross margin to be above 60%, 65%.
Mike Latimore: Okay. Very good. Thanks a lot.
Eyal Hen: Thank you.
David Desharnais: Thanks Mike.
Operator: Our next question comes from [Ray Yacko]. Please state your question.
Unidentified Analyst: Yes. Thanks for taking my call. With your partnership with SoundThinking and the rollout of PlateRanger, I believe, in September, will they go back to their existing customers that they have and offer it to them also? Or is it just their forward customers going forward? And do you also expect any other partnerships by the end of the year?
David Desharnais: Ray, that's a great question. So listen, I can't speak for them, but I can tell you what we're observing, right? Because as they master the go-to-market for that on their timing, our expectation, and we're already seeing it, is that they are going into an existing customer base. I mean they've got a brilliant solution, but not a way to do vehicle recognition or LPR. So that complement is a no-brainer. And we've already done public webinars on this with their communities and stuff like that. So it's on. And that's a natural thing for them to do, and we're seeing that happen. How they're doing that sort of in the out years, I would expect the same, but I can't speak for them. I'm sure you can understand, but that would be a logical thing to do, yes.
Unidentified Analyst: And my second question is, with the share price being $0.12, $0.11 off the 52-week low, do you believe the profitability is what's holding the share price down at this time if you had mentioned profitability been pushed back to early quarter next year or maybe half of next year?
David Desharnais: Yes. That's a crystal ball type of question. There's so many things that affect the stock price. But I would say, yes, one of the things that has been really clear to me, and we're really thrilled to talk about today was the progress and the traction that we're getting, and I would consider it meaningful traction with customers that we've been working with. And I think as we look forward, the value of the company is, we believe, to be substantial. And we're in it for the long-term, and we believe we're making the right decisions. We think the stock will be valued accordingly. In the short run, day-to-day, yes, I can't speak to the fluctuations, but our profitability, and frankly, our ability to continue to intercept the opportunity ahead, I think that was the big question with the ability to close sort of the concerns around capital, which we've done. The ability to be able to demonstrate meaningful customer traction, which we've done. And frankly, our technology position, I think we're doing the right things, and we're going to continue to do more of those. And so I can't speak to the crystal ball of the market, but we're going to continue to do what we're doing, which is executing against our plan.
Unidentified Analyst: Yes. As a shareholder, I've been around for a long time. So I'm not the day-by-day guy, but I've been around since like the BFDI days. So I'm not going anywhere, and I like the division has been set. So -- and my last question is -- I haven't mentioned, I believe, last quarter either. What about Mastercard? Has there been any updates with Mastercard?
David Desharnais: No. With Mastercard, that's a -- that predates my time even at the company. And I think that program -- I don't work for Mastercard. I don't know what they're doing on that program. That's a Mastercard program. And so we're not engaged in expanding that program with them. So from that standpoint, I would say that there's nothing new to report on that. We do see opportunities in the QSR space, which is the quick service restaurant domain that we think is actually very, very interesting without a Mastercard. So we're not tethered to that. But I'd say stay tuned, right? Stay tuned on that for additional information. But the Mastercard piece, there's no updates on that for the reasons I mentioned.
Unidentified Analyst: Okay. And one last question I just thought of. Going back a couple of quarters ago with the State of Ohio and uninsured motorists' program. Nobody else seemed interested in that. I mean, it's just beside the State of Ohio that I believe you had to contract with?
David Desharnais: Yes. It's not Ohio. It's Oklahoma. It's a Oklahoma City.
Unidentified Analyst: Oklahoma, I'm sorry.
David Desharnais: Yes, no problem, I'm just making it clear. Yes. Oklahoma, very good results. The state is overwhelmingly happy. This is something that's tied to legislation and such that it's done at a state-by-state level. So the merits are there. They're very clear. The roads are way safer. Uninsured motorists are off the roads. So for all the things that you and I would care about being on the road and knowing that the people that we're driving with, I mean that's all good in the Oklahoma market. How the other states want to do it, it's unpredictable. Legislation is legislation. So the merits are there, but we don't control the legislation part.
Operator: Thank you. And that's all the time we have for questions today. I'll now hand the floor back to management for closing remarks.
David Desharnais: Well, thank you all for your questions and for joining us today. We've covered a lot of ground from our financial strategies and market opportunities to the progress we're making across each of our segments. So as we move forward, we remain committed to executing our plan, addressing your concerns and driving value at the end of the day. We're excited about the opportunities ahead and confident in our ability to deliver on these commitments. So thank you again for your support, and we look forward to updating everyone on our Q3 call.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Have a wonderful day.